Mike Henry: Hello, and thank you for joining us to hear about BHP's results for the 2023 financial year. I'm joined today by our Chief Financial Officer, David Lamont.
 This year, our results have again proven that our focused strategy creates lasting value through the cycle. But before we talk about our performance and the outlook for our business, I do want to acknowledge the tragic deaths of 2 of our colleagues during the year. Safety is our top priority and fundamental to our success, and we remain resolute in our commitment to eliminating fatalities and serious injuries at BHP.
 We have delivered a strong set of results against a backdrop of economic uncertainty. The ability to deliver in any environment is the hallmark of a high-performing company, and we continue to do so. We met our production guidance across each of our commodities and achieved record annual production at Western Australian Iron Ore, Olympic Dam and Spence. And our unwavering focus on cost means we continue to manage inflation well, particularly compared to our competitors.
 Our disciplined performance has delivered earnings of over $13 billion and enabled us to announce a full year dividend of USD 1.70 per share. That's $8.6 billion that flows back to all of our investors, including the 17 million Australians or 2/3 of the population who are direct or indirect investors in BHP and brings our total ordinary dividends to shareholders over 3 years to more than $40 billion.
 We also contribute significantly to the economies in which we operate. This year, our total economic contribution was $54 billion, and this includes almost $14 billion paid to governments, $12 billion of which was paid in Australia. We've continued to expand and execute on our suite of growth options. We've progressed projects, advanced studies, invested in technology, innovation and early-stage options, explore new regions and, of course, acquired OZ Minerals, which we're integrating with Olympic Dam to create a new copper province in South Australia.
 The creation of shareholder value goes hand-in-hand with the creation of social value. Our positive contribution to society and development of relationships of mutual value with our partners and stakeholders. Social value is fundamental to our success and our future competitiveness, so it is deeply interwoven into our strategic thinking and day-to-day actions. We've made good progress against the social value metrics we announced in 2022 as we continue to build an inclusive high-performance culture and a more sustainable business. We further reduced our operational emissions by 11% from last year. And while future progress won't be smooth or linear, particularly as we also look to grow our business, we remain on track to achieve our 2030 target.
 Our relationships with the indigenous peoples on whose traditional lands we operate are critical to our business. This year, we spent over $330 million with indigenous suppliers globally, more than double last year's figure. In Australia, we also achieved the Elevate designation for our latest reconciliation action plan, which we co-created with traditional owners and speaks to the way we embed initiatives that include support and empower indigenous people.
 Jobs in the minds of the future are changing, safer, more high tech, more automated. In the competition for the best talent, BHP must be an attractive place to work for everybody. We advanced female employee representation to more than 35%. That's more than double since we announced our ambition to achieve global gender balance by 2025.
 So with that, I'll now hand over to David to take you through our financial results. 
David Lamont: Thanks, Mike. We delivered another strong set of results despite lower prices and continued inflationary pressures. Our EBITDA margin at 54% and return on capital employed at 29% reflects the quality of our assets and reliable operating performance. Underlying attributable profit decreased by $7.9 billion to $13.4 billion. Taxes and royalties amounted to $10.6 billion, which reflects an effective tax rate of 41.3%. 
 Ensuring shareholders continue to benefit from our consistent and reliable performance. We've announced a final dividend of USD 0.80 per share, fully franked, which equates to $4 billion. During the year, we spent $7.1 billion on capital and exploration expenditure, an increase of 16% year-on-year. And net debt finished at $11.2 billion, including $7 billion related to the acquisition of OZ Minerals.
 In the near term, we expect to stay at the upper end of our $5 billion to $15 billion target range as we ramp up spend on growth. The biggest driver of year-on-year decline in earnings was lower commodity prices. Iron ore and copper, our 2 largest segments saw prices down 18% and 12%, respectively, compared to last year. Metallurgical coal prices declined 22%. Usually, the impact of lower prices would be partly offset by lower royalties. But in Queensland, royalties increased as we paid an additional USD 700 million under the new royalty regime.
 We also continue to see the effects of inflation, which had a negative $1.7 billion impact and equates to around an effective rate of around 10%. The favorable impact of the weaker Australian dollar and Chilean peso against the U.S. dollar were only a partial offset to inflation. Beyond these external pressures, we delivered well against the areas within our control. Production was up 3% in copper equivalent terms and delivered an increase of $1.5 billion. And on the cost front, we continued to perform well, meeting unit cost guidance for the majority of our assets.
 The $1.4 billion increase in controllable cash costs is primarily due to unfavorable timing impacts of inventory movements. The $1.1 billion in the other category largely reflects one-off costs of $400 million in relation to the OZ Minerals acquisition and employee allowances and entitlements as well as the $400 million accounting impact due to movements in the freight index on some of our freight contracts, specifically continuous voyage charters.
 Attributable profit declined 37% and is lower than our EBITDA due to depreciation, interest associated with maintaining a healthy capital structure, substantial taxes and then backing out amounts related to noncontrolling interests, notably Escondida and Jimblebar.
 Our operations are performing well. We continue to produce strong margins and a consistently high baseline of cash flow. Over the past decade, we have delivered average margins of 55%, significantly ahead of our nearest competitors and generated average net operating cash flow of $20 billion per year. This stability is a hallmark for us and demonstrates the quality of our portfolio and the consistency of our returns despite volatility in the sector.
 This strong performance is seen around the business. Iron ore continued to perform incredibly well with an EBITDA margin of 67%, underpinned by record production volumes at Western Australian Iron Ore, strong price realizations relative to benchmark and the lowest cost of the major producers with C1 cost of $15.86 per ton, up only 5%. 
 In copper, our margin remains healthy at 47%. Escondida's production increased 5% year-on-year. And while unit costs increased 17%, this was a solid outcome in the context of what our competitors are experiencing. This reflects Chilean inflation of around 12% as well as above inflation price increases for diesel and explosives. We achieved record production expense following higher concentrator throughput and at Olympic Dam as a result of continued strong concentrator and smelter performance.
 BMA finished the year in a strong position offsetting the impact of significant wet weather during the first 3 quarters with strong underlying operational performance. Continued improvement in truck productivity following further transitions to the autonomous fleet was a key driver. In nickel, our margin was lower year-on-year as we purchased additional high-cost third-party concentrate to compensate for all supply issues and drew down on inventory.
 New South Wales Energy Coal achieved a strong EBITDA margin of 56%. We continue to manage this asset for value as we transition towards cease mining in 2030. And at Jansen, Stage 1 is now 26% complete and remains on budget and ahead of its original schedule. Our ongoing focus on productivity and costs allowed us to manage external pressures well, delivering a strong performance operationally and on the cost front.
 Now turning to capital expenditure. We are increasing our spend as we look to unlock productivity, decarbonize our assets and deliver growth in future-facing commodities. Incorporating the OZ Minerals assets, we expect to spend around $10 billion on capital on exploration in the 2024 and 2025 financial years. The majority of this will go towards improvement and growth as we progress Jansen, Copper South Australia projects and growth in the Pilbara.
 As we said, we're not spending any growth capital at BMA as these projects are uncompetitive following the Queensland government's decision to raise royalty rates to the highest maximum rate on coal in the world. As we look to the medium term, we expect spend to increase to around $11 billion per year. An increasing proportion of this, around 70% will go towards future-facing commodities. This includes continued spend on Jansen Stage 1 and potentially Stage 2, growth in our Chilean and Australian copper operations and nickel.
 However, as always, this is not set in stone. We remain flexible and will only spend capital where we see compelling value.
 With that, I'll now hand back to Mike for an update on the business. 
Mike Henry: Thanks, David. I'd like to now explain our outlook for the commodities we produce and what we're doing to grow value. In the near term, we expect the economic environment to remain uncertain. Anti-inflationary policies have slowed demand in the developed world. And while China and India have been a source of relative stability for commodities demand over the last 6 months, as expected, momentum in China has slowed. The July Politburo meeting set a positive pro-growth tone. However, it remains uncertain how quickly and effectively these policies will be implemented. If policy is implemented well, 2023 should end with solid momentum moving into 2024. If not, growth will continue to disappoint.
 However, it is worth recognizing what's going well in China. Low carbon technology sectors are booming. Infrastructure investment is strong. Housing completions are growing 19% year-on-year and autos and consumer durable sales are healthy. As a result of all of this, we've revised our 2023 forecast for Chinese steel expectations down, but our copper projections up.
 While there is uncertainty in the short term, the long-term outlook remains positive. Traditional demand drivers are an undeniable force, population growth, ongoing urbanization and industrialization and rising living standards are expected to result in a global economy that is 2.5x larger by 2050. The energy transition is expected to further amplify demand not only due to the massive investment required in decarbonization infrastructure, but also due to potential climate-related physical impacts, which may drive more frequent replacement of capital stock and more investment in defensive measures to mitigate these risks.
 Cost differentiation is expected to become even more pronounced. General inflation and labor are expected to put upwards pressure on costs, particularly for companies that are less efficient. The cost of decarbonization are also expected to be inflationary and will disproportionately impact companies with higher emissions intensity. As such, while the marginal cost of mining production is now clearly higher than in the past, in the medium term, there are signs that it could go higher still, once the after effects of the pandemic and the ongoing Ukraine conflict unwind. That means lower cost operators like BHP stand to capture higher relative margins in certain commodities.
 Combined with the challenges of bringing on new supply, for example, due to grade decline headwinds, a lack of economic discoveries, permitting challenges and local stakeholder opposition, this creates an environment in which companies like BHP can thrive. This year marked an inflection point in the resources sector. My sense is that the business and political circles are beginning to grasp the scale of the challenges the world faces in securing the metals and minerals needed for global growth and the energy transition as well as the opportunities those challenges present for nations, communities and companies.
 BHP's strategy, commitment to social value and the deliberate shaping of our portfolio means we are well positioned to benefit from these trends. So how do we seize on this opportunity? First and foremost, increasing productivity from existing assets is our most valuable lever. And this requires an ongoing focus on optimization and efficiency through the way we operate our assets, the way we embrace innovation and our culture of continuous improvement to ensure we make the most of what we already have. And our cathode team at Escondida exemplifies this. Their systematic approach to continuous improvement has delivered a substantial improvement in performance, and they were recently awarded the prestigious Shingo prize for operational excellence.
 Our strategy is focused on owning assets in attractive commodities that are large, long life, low cost and with options to expand. The larger the ore body, the larger the potential opportunity they present for organic growth, not just in the short term but over decades. Western Australian Iron Ore is a prime example of this. It's an asset that was operating at around 60 million tonnes per year in the 90s. And my guess is that its potential probably wasn't imagined at that time. But by capturing opportunities to expand and improve, we're now at 285 million tonnes per annum and progressing towards 305 tonnes. Our studies into further growth to 330 million tonnes per annum are due to be completed in 2025.
 I'll come back to our plans in South Australia and the Americas shortly. We're also actively generating longer-term options through our other levers. In exploration, we've refined our approach and ramped up spend over recent years, which has led to the discovery of the Ocelot copper system in Arizona and ongoing exploration success at Oak Dam in Australia and we've made additional investments in early-stage options.
 We've substantially increased our investment in innovation. The global need to increase commodity supply ever more sustainably will only be achieved by breakthroughs in innovation and technology. And BHP's significant resource holdings mean that even small improvements in our methods can deliver a great deal of value. The successful acquisition of OZ Minerals also creates an exciting opportunity. We're working hard to embed its assets and its excellent people into BHP. The culture and people of OZ Minerals were a key part of its success and contributed significantly to its attractiveness as an acquisition.
 Combining Olympic Dam, Carrapateena, Prominent Hill and Oak Dam will create a new copper province for BHP in South Australia. And as we've demonstrated at Western Australian Iron Ore and BMA, having operations in close proximity to each other brings substantial benefits, including the leveraging of shared infrastructure and relationships towards better productivity and long-term growth. While OZ adds about 120,000 tonnes of copper production now, it also brings further growth in both the near and longer term. We're evaluating the next steps in terms of integration and growth with a focus on building scale and optionality.
 In the near term, we expect to unlock synergies of at least USD 50 million in EBITDA per annum by the end of the 2024 financial year. $20 million of that has already been achieved. These are broadly split across 3 categories. First, operationally, through optimizing mine plans and growth studies and treating concentrate from Prominent Hill at Olympic Dam when we have excess capacity. Second, through procurement, integrating supply chain, sharing inventory and leveraging the cost savings from the BHP network; and finally, at the corporate level by reducing compliance costs and streamlining functions.
 Of course, we expect to create far more significant value over the medium to longer term as we integrate our operations and optimize our growth pathway. We're working off a stable base with record production this year at Olympic Dam providing a strong platform for growth. The Carrapateena block cave will progressively ramp up over the course of the decade. And factoring in the OZ Minerals assets into our thinking for 2-stage smelting in Olympic Dam could enable us to capture significant upside from processing all concentrate within the province.
 On top of this, Oak Dam provides further potential upside. We've now released an exploration target, which indicates between 0.5 billion and 1.7 billion tonnes of mineralization at between 0.8% and 1.1% copper grade. And with Oak Dam only 40 kilometers from Carrapateena, this provides options for synergies should Oak Dam get developed. With stable and competitive government policies in place, we believe there will be a strong case for capital investment in these assets. Our aspiration is to grow copper production across the province to more than 500,000 tonnes per year.
 In potash, we're excited about the pipeline of growth projects that we have ahead of us. The long-term fundamentals for the market are compelling and have improved further since we sanctioned Jansen Stage 1.
 We've accelerated studies on Stage 2 and expect to have the option to trigger an investment decision on that within this financial year. All major permits are in place for this, and we have the necessary port capacity. Should we proceed, Stage 2 would add an additional 4 million tonnes per annum of potash capacity with possible first production estimated to be in the 2029 financial year. Around the time Jansen Stage 1 will be finishing its ramp-up.
 We're also working hard to define the path forward for Escondida, noting the grade decline expected after 2026. Escondida is well placed to be one of the most responsible copper producers globally through its transition to 100% renewable power and desalinated water usage, and it has significant untapped resource potential. We're progressing studies into potentially replacing the Los Colorados concentrator as well as expanding our leaching operations. This includes 5 leaching technologies under study or in execution, which in addition to helping us extract more copper could realize other benefits, including lower water and energy consumption, no tailings dams and production of a cathode finished product that doesn't require smelting.
 These technologies have shown interesting and promising results so far, either in operation or through pilots. Each demonstrates a different proposition in terms of cycle time, cost and production impact. Our studies are expected to complete identification phase during 2024, at which time we'll be in good shape to assess, which are technically and economically viable and to further focus our efforts on the most attractive. We expect to employ different combinations of technologies across different locations and time horizons.
 So in summary, at BHP, we're focused on creating value now and into the future. We think and plan in decades. By 2050, we're looking at a global population of around $10 billion. About 2/3 of that in urban areas and all of them seeking a better standard of living, raising demand for housing, better food, consumer goods, cars, infrastructure, power and utilities. And the energy transition stands to amplify the commodity intensity of that demand. Steelmaking materials, copper, nickel and potash all vital to the global future we aspire to and all central to BHP's business.
 We continue to plan strategically, responsibly, consistently with a clear focus on being the best operator, being disciplined in capital allocation and continuing to generate value and returns for all those around us. BHP's future really could not be more exciting. Thank you.